Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2008 Gildan Activewear Earnings Conference Call. My name is Jerry, and I will be your operator for today. At this time, all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of this conference. (Operator instructions) I would like to turn the call over to Sophie Argiriou, Director of Investor Communications. Ma’am, you may proceed.
Sophie Argiriou: Thank you, Terry. Good morning, everyone, and thank you for joining us. Earlier this morning, we issued two press releases, the first announcing the satisfactory resolution of the Canada Revenue Agency Audit, and the second announcing our earnings results for the fourth quarter and fiscal year 2008. These documents can be found on our website and will be filed with the Canadian Securities Regulatory Authorities and the US Securities Commission. Joining me today are Glenn Chamandy, our President and Chief Executive Officer; and Laurence Sellyn, our Executive Vice-President and Chief Financial and Administrative Officer. Before we begin, I would like to remind everyone that certain statements included in this conference call may constitute forward-looking statements within the meaning of the U.S. Private Securities Litigation Reform Act of 1995. Such forward-looking statements involve unknown and known risks, uncertainties and other factors, which could actual results to differ materially from future results expressed or implied by such forward-looking statements. We refer you to the company’s filing with the U.S Securities and Exchange Commission and Canadian Securities Regulatory Authorities that may affect the company’s future results. I now would like to turn the call over to Laurence. Laurence?
Laurence Sellyn: Good morning. I will review first the settlement of the income tax audit, then our results for our fourth quarter of fiscal 2008, and then outlook and guidance for fiscal 2009, which we provided today. Yesterday, we reached a final agreement with the Canada Revenue Agency to settle the audit, which they have been conducting for the 2000 to 2003 fiscal years. Even though the 1999 fiscal year is now statute barred, we have agreed to pay tax on the negotiated value of the transaction that took place that year to transfer our international wholesale business and the working capital assets, which support the business from Canada to Barbados. In 2007 when transfer pricing for the 1999 fiscal year became statute barred, we reversed our tax provisions relating to the original transfer as required by GAAP. We agreed to this one time tax payment and the resulting charge of approximately $0.22 per share in order to avoid continuing uncertainty over our low consolidated tax rate, which is clearly an important element in the earnings profile and economic value of the company. If we had not accepted the charge, it is likely that the CRA would have attempted to challenge our 2000 to 2003 transfer pricing. Even though we would have been highly confident of sustaining our position, this would have involved protracted litigation, which would have created an overhang over Gildan shares for a lengthy period. Under the settlement, the CRA has accepted our transfer pricing at income tax rates as reported for the 2000 to 2003 audit period other than for the one-time charge. Based upon the outcome of the audit and our discussions with the CRA, we are confident that our transfer pricing and tax structure will be accepted on an ongoing basis and have agreed to the settlement for that reason. So no additional tax provisions are being recorded for our fiscal years subsequent to 2003. Our one-time charge makes full provision for provincial tax based on the same basis as the CRA settlement. The settlement will also require the cash payment of approximately $17 million of tax liabilities, which had been previously recorded and accounted for as part of our tax rate in the fiscal years covered by the audit. I want to emphasis that our low overall consolidated tax rate reflects the operating structure of the company under which all of our sales, marketing and manufacturing functions are carried out at low tax rate jurisdictions in the Caribbean basin and Central America, with only corporate head office functions based in Canada. Moving on to our results for the fourth quarter of fiscal 2008, we have reported EPS of $0.41 before the impact of the tax charge and restructuring charges for the ongoing carrying cost of North American manufacturing assets, up 14% from $0.36 per share in the fourth quarter of last year before restructuring costs and prior year tax adjustments in the fourth quarter of last year. The growth in adjusted EPS compared to the fourth quarter of last year was due to higher Activewear selling prices, higher unit sales volumes, increased manufacturing efficiency from the consolidation of textile facilities and the accretive impact of the acquisition of Prewett partially offset by higher cotton energy costs and increased SG&A and depreciation expenses. We were at the low end of our forecast fourth quarter EPS range implicit in our most recent full-year guidance, due to lower than projected Activewear sales in the fourth quarter of 2008 as a result of inventory constraints, more unfavorable Activewear product mix due to lower proportion of sport shirts and fleece, lower than planned back to school retail sales and a doubtful account provision of $1.5 million dollars, partially offset by lower than forecasted promotional discounts. Sales were up 27.4% from the fourth quarter of last year to $324.7 million. Excluding the impact of the Prewett acquisition, sales increased by 8.7% due to an approximate 10.2% increase in Activewear unit selling prices, and an 8.5% increase in unit sales volume for Activewear and underwear. Market shares increased in all product categories within the US wholesale distributor channel reaching 54.4% in T-shirts, 49.9% in fleece and 37.8 per cent in sport shirts. Due to our higher market share, sales of our brands from distributors to screen printers increased by 7.2%, even though overall industry shipments declined by 3.1% with the overall decline being due to a significant decline in demand for basic white promotional T-shirts. Gildan sales into the channel continue to be constrained by lack of inventory during the quarter due to the production issues earlier in the year in the Dominican Republic facility, which also limited our availability to service distributors in Europe, with our new wring shrunk [ph] product line. Gross margins were flat compared with last year at 32.1%. The positive margin impact of higher Activewear selling prices and increased manufacturing efficiencies from the consolidation of textile facilities was offset primarily by higher cotton and energy costs, more unfavorable Activewear product mix and a higher proportion of socks due to the Prewett acquisition. Socks manufactured in the US generate lower gross margins than the company’s Activewear and socks products manufactured in our modern technologically advanced facilities offshore. SG&A expenses increased to $39.1 million or 12.1% of sales versus 10.9% of sales in the fourth quarter of last year. The increase in SG&A expenses was due to the impact of the Prewett acquisition, higher distribution and transportation expenses, and higher corporate infrastructure costs as well as the $1.5 million doubtful account provision. For the full year, EPS before restructuring charges and the special income tax charge amounted to $1.45 per share, up 18% from $1.23 in fiscal 2007 before restructuring charges and income tax recoveries included in the prior year results. The company generated free cash flow of $148 million in fiscal 2008 after capital expenditures of $97 million. The company’s internally generated free cash flow in fiscal 2008 therefore finance the cost of the Prewett acquisition, which was approximately $125 million plus contingent payments of up to $10 million. We ended the year with only $45 million of bank debt and significant unused debt capacity under our committed revolving back credit facility. I will now discuss our outlook and earnings guidance for fiscal 2009. Since mid-October, overall economic conditions, consumer confidence and consumer and corporate spending patterns have dramatically deteriorated. Demand in the screen print channel, which we had believed would remain relatively stable in an economic downturn has been significantly impacted by the rapid an unprecedented change in the macro environment. S.T.A.R.S. Data for October indicate that a 12.5 % decline in overall industry shipments from US distributors to screen printers and preliminary November data indicates a decline of close to 20% in overall industry shipments. Shipments into the channel have declined even more precipitously as distributors have reduced inventory levels due to declining screen printer demand and an increased focus on managing their working capital. The decline in unit sales volume has led in early December to the onset of significant promotional discounting. As a result of reduced unit volume shipments, lower pricing in the December compared with December of last year, significantly higher cotton cost compared with the first quarter of last year when cotton cost and Gildan’s cost of sales were at their lowest point in the year, and the consumption of inventories produced when energy and commodity costs were at peak levels, Gildan is projecting a material decline in sales and EPS in the first quarter of fiscal 2009 compared to a year ago. We expect EPS for the quarter to be in the range of zero to $0.05 per share compared with an adjusted EPS of $0.23 in the first quarter of fiscal 2008. It is extremely difficult to forecast the market environment for the balance of the year, due to the current unprecedented economic uncertainty and volatility and the speed with which market conditions have been changing. However, even though the first quarter is seasonally the lowest sales quarter in the fiscal year, it may not be indicative of full-year trends for the industry. We believe that very weak market conditions will continue and are projecting approximately a 10% decline in overall industry shipments from US distributors to screen printers for fiscal 2009 as a whole. Industry shipments have declined by approximately 6% so far in calendar 2008, including the data for October and November, and we believe that the projected decline in industry shipments for the full-year is a realistic scenario. This is a much more severe decline than in 2001 when overall industry shipments for T-shirts declined on a calendar year basis by 3.4% according to S.T.A.R.S. However, the severity of the economic downturn and the impact on the industry of the assumed decline incorporate and consumer spending currently appear to be far more severe in 2009 than in 2001. Based on the assumption of continuing unfavorable market conditions, resulting in a 10% decline in US screen print industry shipments and a reduction in distributor inventory, the company is initiating EPS guidance for fiscal 2009 with a range of $1.10 to $1.30, which reflects the following specific main assumptions. Firstly an increase of approximately 8% in the Gildan’s Activewear and underwear shipments compared with fiscal 2008 to approximately 48 million garments, as the company is currently implementing strategies to maximize volume growth in the balance of the year in both the US and international screen print channels. In addition, Gildan is pursuing sales opportunities in the mass retail channel. Secondly, promotional discounts in the US screen print channel are assumed to more than offset the benefit of industry price increases implemented during fiscal 2008 and at the beginning of the 2009 fiscal year, and results in an approximate 7% to 9% decline in average Activewear selling prices in fiscal 2009 compared to fiscal 2008. No selling price increases are forecast in the retail channel. Next we are assuming an approximate 10% increase in cotton cost in fiscal 2009 compared to fiscal 2008, reflecting the company’s forward by this commitment further majority of its this could 2009 cotton requirements at cotton prices in excess of current spot prices for cotton. We’re projecting increased manufacturing efficiencies, including the improved productivity and operating cost performance of the Dominican Republic facility, the benefit of consolidating a higher proportion of our socks manufacturing operations in our new facilities in Honduras and lower energy costs. And finally, we are assuming the non-recurrence of acquisition integration issues and charges, which occurred in fiscal 2008. The assumptions underlying our guidance reflect management’s current outlook for fiscal 2009 based on the information and visibility, which we have at this time. It is possible that a change in economic and business conditions may result in earnings in fiscal 2009, which are more or less favorable than the company’s current guidance range. In the assumed economic environment, we will manage our capital expenditures prudently, but without compromising our ability to drive our continuing growth strategy. We are undertaking incremental capacity expansions at our Dominican Republic facility and at Rio Nance 1, which together will provide approximately 7 to 8 million dozens of additional annual capacity at a lower capital cost. Our confidence in investing further in the Dominican Republic where we are also building a plant to produce steam from bio mass for the textile operations and developing a new storing facility reflects the success of our new management team in the Dominican Republic and turning around the performance of the facility. We are still intending to proceed with a major capital investments to build the Rio Nance 4 and 5 facilities in Honduras, although the incremental expansion of existing facilities will allow us to proceed more slowly and cautiously with Rio Nance 5. We are announcing today our intention to phase out of our socks finishing operations in the US, which will be consolidated in Honduras by the end of June in order to remain globally competitive in the current economic conditions. We sincerely regret the impacts on US employees affected by this consolidation, who have many years of experience and expertise in socks manufacturing. All employees will be treated fairly in line with the Gildan’s past practice and commitment to being a socially responsible employer. Gildan is now projecting capital expenditures of approximately $150 million in fiscal 2009. And our objective is to remain cash positive in fiscal 2009 after capital expenditure, after approximately $70 million of projected additional working capital to support our planned growth in fiscal 2010, and the cash payments resulting from the settlement of the CRA audit. In spite of the economic environment we’re currently facing, our management team feels very positive and confident about the future of our business. While the current environment in our industry is uniquely challenging, we believe that we have an opportunity to further reinforce our leadership position in the US screen print channel and continue to increase our penetration in or international screen print market. Also we believe that we are positioning the company well to achieve our goal to become a major strategically located supplier of low-cost high quality products for mass-market retailers and to support individual retailers plan to upgrade and enhance their private label brands, as well as to selectively introduce Gildan branded products. We are confident that we have put behind us the acquisition integration issues, which impacted us in fiscal 2008, and we are maintaining consistent high service levels with our retail customers. All of our manufacturing operations in Honduras and the Dominican Republic are running well. And Rio Nance 2 and 3 have ramped up successfully. Many of you have recently had an opportunity to visit our large-scale technologically advanced manufacturing facility and to see the quality and commitment of our manufacturing management in Honduras and the Dominican Republic. In addition to our competitive strengths within our industry, we are also positioned at this time of unprecedented economic turbulence and strained credit and liquidity with a strong capital structure, and we’re comfortable that we will continue to have sufficient liquidity and financing flexibility to pursue our ongoing growth strategy.
Sophie Argiriou: Thank you, Lawrence. Before moving to the Q&A, in order to allow everyone the opportunity to ask a question, we ask that questions be limited to two per caller. And time permitting we will circle back for the next round of questions. Thank you. Jerry, can you give us the logistics of the Q&A?
Operator: (Operator instructions) And your first question comes from the line of Sara O’Brien with RBC Capital Markets. You may proceed.
Sara O’Brien – RBC Capital Markets: Hi, guys. I guess the question I am getting the most from investors this morning is what gives you the confidence that, particularly on the back of a wholesale market decline of 20% or so in November, how do you see the confidence to project an 8% volume increase going into this year?
Glenn Chamandy: Well, good morning. It is Glen. Well, if you look at our growth strategy, we have opportunities in various markets. And if you take the last year, for example, from the month of March to August, we were carrying over 3.5 million dozens of open orders that partly was missed opportunities in the marketplace. Our current market share is running roughly about 54% in the screen print market. And we believe, and what we stated is that the potential market share is to be increased significantly in the neighborhood of 60% plus. If you combine that with the opportunity for us in all of our international markets, which we did not really allocate any inventory to last year. I mean last year, we actually stopped shipping products, and we actually divested our inventory just because of the fact that we were so short. And if you take some of the opportunity for example in Europe, the largest contender in Europe, which is a competitor that we also compete with in North America is 2.5 times our size, but we just have not been able to penetrate that market, because of lack of inventory and particularly because of lack of our ability to bring on our new product lines into the European market. So we expect that the opportunity in Europe is in excess of over 5 million dozens from our current base of today. As well, as last year, we just started selling product into Mexico. And this market is highly fragmented and is a large opportunity. We believe that the opportunity upside in Mexico is over 4 million dozens from our current base of fiscal 2008. And we have also made a strategic move to move into Asia. We had some business in Japan and Australia, and as we go forward into the Asian market, very conservatively, we can see an opportunity there in excess of 2 million dozens in the short term. So, we have over 11 million dozens of opportunity today just in our international markets from where we stand that we just have not serviced because of our lack of capacity. And if you look at the inventory at the end of fiscal 2008, they have never been at a lower level in the company’s history.
Sara O’Brien – RBC Capital Markets: Glen, I understand the opportunity, but how long does it take you to get to that? I mean do have agreements in place, or is there something that you can do, you can just divert shipments, and all of a sudden, Q2, we can start seeing these volumes go through?
Glenn Chamandy: Well, what we have done now is, we have already started moving and allocating significant amount of inventory to these markets. What’s happened really, let me just go through the opportunities and I’ll jump start the second question. We also are pursuing right now going forward the screen print private label market, which is over $1 billion opportunity, which we have not serviced before, which is going after large programs at screen printers that provide or require a private label. And that is an area, which we can allocate production capacity relatively quickly. And what we have done right now is in the month of October and November, really in our Q1, the impact of destocking was quite significant, but the actual lost revenues in terms of the market decline were not that significant because if you take let us say for example, the average market let’s say in the first quarter is down 15%, but typically the lowest quarter of this fiscal year. So, what we lost in terms of actual revenues to the screen printer based on the market decline right now is probably not more than 800,000 to 900,000 dozen. What were doing is we are actually in the process of moving aggressively our inventories to all the warehouses that we have around in these other based on export markets, and we’re very confident that we could increase our business there. We have already seen in the month of November shipments in the Europe increase, because we now have all the products in place. And combining that with a aggressive pricing strategy in these functional markets, we feel fairly comfortable that we will be able to increase our unit volume by 8%. And it is not a lot of dozens there, but at the end of the day, if you look at the overall opportunity in each one of these markets, including penetrating in the existing markets with more market share it is not that significant, and it’s pretty well spread out. Also the last point, Sara, is that we’re looking to pursue, we haven’t been pursuing our retail opportunities this year, because we are anticipating not having the capacity. Because of our lack of service last year, and we are sold out in all of our market places, we didn’t want to divest ourselves and lose and risk another bad year of service. And now that we know we have additional capacity, not only for the balance of this year, because if you look at our capacity in terms of what we are producing, we’re still producing approximately 50 million dozens to 51 million dozens this year. Part of this will go into restocking our inventory and as well potentially have some upside in the back half of the year. But at the end of the day what we’re going to continue to do now is not only we’re going to look to continue pursuing new retail opportunities in the back half of this year. And one of the things we’re doing with the capacity expansion in the Dominican Republic and Honduras is also going to allow us to bring on capacity earlier, because if you were in Honduras and you saw the facility, it is coming on at the end of our fiscal 2009. And then we’ll have to have a ramp up period. The reality is that now that we bring up incremental capacity in the year which will probably have all the equipment installed sometimes around June, that is also going to allow us now to have more confidence to pursue other retail opportunities in early 2010 that we would not have been able to do before. So overall, we feel very comfortable with our capacity, we feel very comfortable with all the different levels of opportunity we have, and we are feeling comfortable of bringing on additional capacity even sooner to support 2010.
Laurence Sellyn: Just to be clear, Sara, the retail opportunity is not included in the $48 million. That would be upside over the $48 million that we would have the capacity to support.
Sara O’Brien – RBC Capital Markets: Okay. And can you just ask on the retail opportunity, I mean if you are building this, bringing in new equipment in Honduras for that for early 2010 production, are we talking underwear or fleece or T-shirts or all the above?
Glenn Chamandy: All of the above.
Sara O’Brien – RBC Capital Markets: Okay. And then maybe just Laurence, you know, this is the second quarter, where we have had a pretty significant hit on bad debt expense, does your guidance assume that you are going to be taking more such hits in this kind of credit environment and maybe are you preparing, taking more bad debt reserves at this point, for the rest of the year?
Laurence Sellyn: We haven’t included any specific bad debt provisions in our guidance for next year. We have reviewed the credit position of all of our customers very carefully at the year-end, and we have provided against the one situation where we feel that we have some foreseeable exposure.
Sara O’Brien – RBC Capital Markets: Can I just ask if like payment terms have changed at all with Gildan, are you collecting at the same rhythm, or are things slowing down since November?
Laurence Sellyn: We haven’t had any issues with collections or any changes in collection patterns.
Sara O’Brien – RBC Capital Markets: Okay, great. I’ll circle back, thanks.
Operator: And your next question comes from the line of Jessy Hayem with TD Securities. You may proceed.
Jessy Hayem – TD Securities: Thank you. Can you just help me reconcile the fiscal 2009 guidance? Am I correct in thinking that the base that we should be looking at in fiscal 2008 is essentially adding back about $0.30 of non-recurring issues that you had related to the Dominica Republic and integration issues, so the real base to look at in 2008 is closer to call it a $1.78?
Laurence Sellyn: Yes. I mean our guidance does include, does reflect the fact that we have turned around the issues that impacted our results and performance in 2008 and caused us to lower our guidance, and the fact that these issues will not affect our performance in 2009. To kind of walk you through – I am going to walk you through the numbers from $1.45. And then we can address the $0.30 and where that fits into the picture. So this year, we are reporting $1.45. The impact of higher wholesale volume, the benefit of the increase in wholesale volumes to $48 million contributes approximately $0.20 to our EPS. Higher cotton costs in 2009 versus 2008 negatively impacted EPS by about $0.20. Our manufacturing efficiencies year over year, which includes the positive impact of improved performance in the Dominican Republic contributes $0.40 to our projected EPS. Higher deprivation is negative $0.05. The positive impact of the selling price increases we implemented, the carryover effect of last year’s selling price increases, plus the price increase in October, contributes about $0.55 to EPS. And then what is causing, the decline in EPS is an assumed range of $1 to $1.20 per share from the 7% to 9% increase in – reduction in average selling prices. So that is what is causing the reduction. I think if you do the math, it will bring you to $1.15 to $1.35, and there is $0.05 of other small negatives that are also impacting our EPS.
Jessy Hayem – TD Securities: Okay, that is helpful. And just to follow on the previous question, again, Glen, I guess just again trying to understand, with the international markets Europe or Mexico, can you really quickly just start delivering? You mentioned you are aggressively filling your DCs in the respective areas to start, I guess to start shipping but is the demand there for your products, how quickly can you displace some of your competitors in these markets?
Glenn Chamandy: Well, you know, because we have had a lot of demand for our products in every one of our markets, I mean going through all of last year, we just didn’t service them. So demand is there, and the question for us is to bring the inventory to the market and position ourselves aggressively to get that business. So we feel very comfortable. If you take all the market opportunities together, it is not significant in one market that is really going to make or shift the opportunity. I mean we have to do a little bit in every market to achieve a mere 8% volume growth. I mean, it is not a significant amount of volume at the end of the day. I mean, we’re looking at large sales last year, probably in the neighborhood of 3.5 million dozen just in the US wholesale market. So, we’re very confident about the opportunity. And with the promotions that we’ve launched in the North American market, we have already seen significant increases in the sell through the distributors even here in the United States. So, we’re very comfortable with our volume assumptions at this point.
Jessy Hayem – TD Securities: Okay. And then what kind of capacity, exit capacity should we be looking in fiscal year 2010 now that you are sort of maybe slowing down a little bit your expansion of the Rio Nance 5, although you are going ahead with it, and maybe just an idea of what we should expect as an exit capacity in fiscal year 2010?
Glenn Chamandy: Well, what we’re doing right now is we’re going to produce in the year this year in the neighborhood of between 50 million and 51 million dozens, which is pretty close to our forecast previous, our previous forecast. We are bringing on the capacity in the DR and Honduras that will be installed towards the end of our third quarter and start running in the beginning of Q4. So, we have some flexibility depending on where the market is. If the market opportunity is there, we can actually accelerate that a little bit and take some advantage of it. But at the end of the day, if you look at it, we are in a position now to quickly ramp up to what our required sales would be for 2010. And actually I think the point here is that we are going to enhance our opportunity now by 2010 with this incremental capacity expansion. And we will have enough capacity in 2010 to produce and ship very close to 58 million dozens to 60 million dozens of required. And we are also going to have a little larger inventory base ending 2009 going into 2010. So a lot of those factors will allow us to quite large sales opportunities. And as far as the Rio Nance 5 is concerned, we are still building the facility. What we’re going to do is just be a little bit more cautious and the plant will start to be built at the end of this fiscal year. And because we still have a lot of work to do in actually moving earth, and getting the preparation of the land and filling ready, and then what we are going to do is build that plant during the course of 2010 to bring in on to 2011.
Jessy Hayem – TD Securities: Okay, great. Just what is the cost for the incremental capacity expansion, that 7 million dozen to 8 million dozen?
Laurence Sellyn: It is about $8 million.
Jessy Hayem – TD Securities: Okay. Thank you. I will circle back.
Operator: And your next question comes from the line of David Glick with Buckingham. You may proceed.
David Glick – Buckingham: Yes, good morning. Lawrence, just a quick question, if you can help me understand the cotton issue a little bit, obviously you have to buy forward, but I wanted to get a sense for what your earning power would be for fiscal 2009. And again this is kind of theoretical question, but it helps us understand how to think about your earning power going forward. But what if you could satisfy your need, that the spot price today for 2009, if you could help us quantify what kind of earnings impact that would be so we could think about your earnings power going forward?
Laurence Sellyn: Okay, well, the difference between the prices at which we have filled cotton as we booked our commitments for 2009 and recent prices for the cotton would translate into an annual impact of between (inaudible) between $0.70 and $0.85 positive impact of lower cost cotton, if current prices were to continue.
David Glick – Buckingham: About $0.70 to $0.85?
Laurence Sellyn: Yes.
David Glick – Buckingham: Okay. Thank you. That is helpful. Also, I just wanted to clarify, you said that $1 to $1.20 negative impact from lower reselling prices, previously I had thought of every 1% of change in selling prices, and in the past we have been talking about selling prices increases where for every 1%, it is about $0.09, and this relationship, it looks like, it is more like $0.13 or $0.14. So, I was just trying to understand the difference and really the mistake in my assumption?
Laurence Sellyn: Well, these are the right numbers for what the difference in average selling price is between what we’re currently projecting for 2009 and 2008 and the EPS impact is what I said. As far as the math of the sensitivity for every percent change in selling price, I guess that change is the base changes from a lower base every percent is lower. So that is why your math is more...
David Glick – Buckingham: Okay. And then just to clarify, are these, if you could comment, if you can comment, are these changes in catalogue prices or is this just discount activity or both?
Laurence Sellyn: It is not. This is discounting of the list prices, including the October price increase.
David Glick – Buckingham: Okay, great. Thank you very much. I appreciate it.
Operator: (Operator instructions). And your next question comes from the line of Eric Tracy with BB&T Capital Markets. You may proceed.
Eric Tracy – BB&T Capital Markets: Yes, good morning. Maybe just a couple of clarifying questions, with respect to the 8% unit volume increases, and the 48 million dozen, just to clarify the assumption is that you do pick up that full 11 million dozens from the international opportunity?
Glenn Chamandy: No. The 8% assumption is, that is the opportunity for the international.
Laurence Sellyn: We have about 1.5 million dozens from the international market.
Eric Tracy – BB&T Capital Markets: I’m sorry. So, 1.5 million is what is assumed for 2009?
Laurence Sellyn: 2.5 million.
Glenn Chamandy: It is 1.5 of the potential 11.
Eric Tracy – BB&T Capital Markets: Okay. And then I guess what are the assumptions around, what the market share gains in the US market would get you to in 2009? I guess what the assumptions are around that unit volume increase, when does that get you to from a market share perspective at the end of 2009?
Laurence Sellyn: That is a competitively sensitive question, Eric. I think we would prefer not to answer.
Eric Tracy – BB&T Capital Markets: Okay. Fair enough. And then maybe just a follow up on the cotton as well, so in the previous, talked about the opportunity if prices stayed where they are today, yet you are assuming that there will be a 10% increase as it stands now, correct, from cotton?
Laurence Sellyn: We are assuming a 10% year over year increase in our cotton cost going through our cost of sales in 2009 compared with 2008, yes.
Eric Tracy – BB&T Capital Markets: Okay. And then maybe just in terms of the other commodity costs or input costs, be it oil, freight, anything that you could quantify there in terms of the potential pickup you may get in 2009?
Laurence Sellyn: We assumed approximately $70 per barrel for energy cost I guess is the important assumption.
Eric Tracy – BB&T Capital Markets: Okay, great. I’ll circle back, thanks.
Operator: And your next question comes from the line of Claude Proulx with BMO Capital Markets. You may proceed.
Claude Proulx – BMO Capital Markets: Thank you. You give us some – your assumption as far as the wholesale market, I think you mentioned that you don’t expect pricing to go up in retail, what are your assumptions as far as retail in terms of volume, and do you expect the market to stable, goes down, I mean you talked about no price increase, but is it possible that we could see some price reduction in retail considering the amount of price reduction you’re seeing in wholesale?
Glenn Chamandy: We don’t think there will be any price reduction, because all our programs are priced right now and are all locked in for the fiscal year. So we didn’t obtain price increases, but we definitely are not reducing our pricing.
Claude Proulx – BMO Capital Markets: And on volumes, do you think that the market will remain stable or you will sell everything you want in retail?
Glenn Chamandy: All of our programs are doing very well in retail. We have actually seen significant increases in most of the programs that we have on a go forward basis. We have definitely consolidated some of our sock sales this year going into next year as we divested from unprofitable legacy programs that were obtained by KVH. We have got note of a license branded sock line that we had which is called Fisher-Price that we are not selling next year. So we are going to have some slight volume reductions, but they are mainly in programs that we divested ourselves, or were not profitable that we walked away from.
Claude Proulx – BMO Capital Markets: Okay, coming back again to cotton, hopefully it is going to settle this. When you say that your cotton cost will be up 10% in fiscal 2009 versus 2008, that is because you’re pretty much completely hedged for the year. And it can be lower than that or you think that it could be up less than 10%?
Laurence Sellyn: I think there is limited upside from that number, Claude, in fiscal 2009.
Claude Proulx – BMO Capital Markets: But it is not very material?
Laurence Sellyn: Not very material.
Claude Proulx – BMO Capital Markets: Okay. Thank you.
Operator: And your next question comes from the line of Steve Wilson [ph] with Lepidus [ph]. You may proceed.
Steve Wilson – Lepidus: Good morning. Just a couple of questions, I just want to make sure I understand the pricing scenario as you have outlined. You are long cotton for fiscal 2009 at higher prices, the reason there’s such pressure in the market is that because your competitors are not in that same situation, and so basically they have got much lower cotton cost and they passing that through and you are forced to match what is going on in the marketplace. Is that why there is such a discrepancy in terms of the gap that you have just defined?
Laurence Sellyn: We would say that that is definitely not what is driving the pricing. The pricing is a function of the industry supply demand as a result of the weak demand in the quarter from screen printers and destocking at the screen print and distributor level. At this point, we don’t believe that we are disadvantaged at this time in cotton and that is not a factor is the promotional discounting that is taking place in the market.
Steve Wilson – Lepidus: But the way you defined it you expect that to last the entire fiscal year to have that severe an impact on your cost realizations?
Laurence Sellyn: It continues to be driven by our outlook that we’re painting for supply demand in the marketplace.
Steve Wilson – Lepidus: O. And then when you talk about the opportunity at mass, are you defining more penetration in your key customers there, or are looking at the scenario and saying now is an opportunity to gain access to significant programs at other mass retailers that to this point, you really have not penetrated?
Glenn Chamandy: We have done a great job in penetrating in the sock segment. Our objective all along has been to leverage that opportunity to other categories, like underwear, sweat shirts, T-shirts, for example. We never had capacity to support those other segments, so obviously as we have available capacity, we’re going to pursue that segment more aggressively. And as we bring on our incremental capacity sooner in this fiscal year, we will be more aggressive in 2010 as well. So it is going into areas where we didn’t have capacity. But would fall into a same strategy, with the existing customers that are already selling socks too. Our objective is to sell them as well the underwear, sweat shirts and T-shirts.
Steve Wilson – Lepidus: In terms of transitioning the socks that are manufactured in the States down to Honduras, you have been very clear about the cost differential, just wondering how quickly we are going to be able to make this transition such that the lower cost products is not showing up through your P&L for the millions of pairs that you have been producing in the States?
Glenn Chamandy: What we have said is we’re going to make this transaction by June 30 of this year. On all the packaging, which is the high labor component of producing a sock.
Steve Wilson – Lepidus: And so by June 30, all of your production will be Honduras generated?
Glenn Chamandy: All the finishing and the packaging of all the socks, because all – everything in Rio Nance is vertically integrated. We’re going to continue to knit in the United States, but send the product to the finished, which is the labor component, which represents 70% of the overall cost structure of making a sock other than raw material. And that will be produced in Honduras by June 30.
Steve Wilson – Lepidus: Then I guess my question was, is that something like gradually happens month by month as you increase and move it, or is it more of a sudden – it is only right near to you that you sort of push everything over?
Glenn Chamandy: No, we’re slowly moving it right now, but it would be fully moved by the June, June 30 timeframe as we ramp up the production.
Steve Wilson – Lepidus: Okay, thank you.
Operator: (Operator instructions) And your next question comes from the line of Susan Sansbury with Miller Tabak. You may proceed.
Susan Sansbury – Miller Tabak: Hi. Yes, thanks very much. Lawrence, the question is about the tax rate on a go forward basis. Are the Canadian taxing authorities or do you anticipate that Canadian – what is the tax rate going to be on a go forward basis, and could you update me on the status of any future audits with respect to that tax rate?
Laurence Sellyn: As far as our tax rate, including our retail business, we are looking at an overall consolidated tax rate; that is reflected in our 2009 budget of around 6%. We are not making any change in our tax provisions for the year except for the audit. And we are fully confident of sustaining our low tax rate for the period on an ongoing basis based on the outcome of the audit, and our discussions with the CRA, and we would not have agreed to the settlement into reopening 1999 if weren’t satisfied with being able to sustain that tax rate on an ongoing basis.
Susan Sansbury – Miller Tabak: Okay, great. Thanks very much.
Operator: And your next question comes from the line of Doug Cooper with Paradigm Capital, you may proceed.
Elizabeth – Paradigm Capital: Hi. This is Elizabeth speaking on behalf of Doug. Just a few quick questions for you, I was wondering if you could provide me with your average cotton price for 2008?
Laurence Sellyn: We haven’t given that number out, Eliza.
Elizabeth – Paradigm Capital: Okay. And what about your T-shirt equivalent volume for both Activewear and socks, maybe a ballpark number?
Laurence Sellyn: What do you mean by – T-shirt equivalent is a hard number to – it is kind of a theoretical number, I am not sure how to answer that question, Eliza.
Elizabeth – Paradigm Capital: Million dozens sold in both Activewear and socks for 2008?
Laurence Sellyn: For the full year of 2008, our Activewear dozens are about 44 million dozens, a bit more than 44 million dozens. You can actually back into it by taking 48, and the growth rate that we have given, and our socks volumes are about 50 million.
Elizabeth – Paradigm Capital: Okay. Thank you. And also, could you provide me with a little bit more color on the timing for both your Rio Nance 4 and 5. I think you mentioned for 4 you hope to have all the equipment in there by June, or is that just for you incremental capacity?
Glenn Chamandy: Yes. Rio Nance sure will be up and running in our third quarter. And what we’re doing is we’re actually training and developing production in an off-site facility right now so that when it gets ramped up, we can actually move those employees into the building. So we’re going full blast with Rio Nance 4. And Rio Nance 5, I said before was going to be built in – at the end of this fiscal year, at the end of 2009, and will be completely built by 2010 to support 2011 capacity expansion.
Laurence Sellyn: Apparently I said 50 million for socks, it’s a bit north of 60, I misunderstood the question.
Elizabeth – Paradigm Capital: Okay. And what is the labor schedule look like for both Rio Nance 4 and 5? I know you are training people now for 4, but can we expect full-year of capacity for the Rio Nance 5 in 2011, for 2010 for 4?
Glenn Chamandy: The first incremental expansion is DR and Honduras Rio Nance 1, that’ll be completed in the third – end of the third quarter ,beginning of the fourth quarter of this fiscal year, it will support roughly between 58 and 60 million dozens of production on a go forward basis. And when we build Rio Nance 5, and it comes online for 2011, it will support what we feel comfortable in terms of our sales objectives, but that plant is obviously quite large and will have the abundant capacity to support all of growth initiatives in the future. Those plants are roughly the equivalent of about 20 million dozens when we build them, so it will support growth based on the opportunities we see at that time. And as far as the Rio Nance 4 is concerned, we are ramping that facility, all the finishing to high labor content, labor content products that have been produced today in the US will be phased out of the US and will be fully 100% integrated into Honduras by the end of June.
Elizabeth – Paradigm Capital: Okay, great. And then one more question, in terms of percentage of revenue, how do you see wholesale versus retail in 2009?
Glenn Chamandy: Well, there is not going to be a huge change. We didn’t project a huge incremental retail sales in 2009 only because we did not have the capacity and we didn’t pursue any new retail programs earlier in the year. We have some incremental capacity in fiscal 2009, so we are going to aggressively try and pursue new opportunities. But retailers work quite far in advance. So we still have some opportunity to bring in some incremental business. But I would say the 2010 would be our opportunity. And now that we are bringing on our capacity earlier, our textile capacity, we have more confidence in actually going out and pursuing programs or 2010 at an earlier date than we originally anticipated.
Elizabeth – Paradigm Capital: Okay, great. That is it for me. Thank you.
Operator: And your next question comes from the line of Mary Gilbert with Imperial Capital. You may proceed.
Mary Gilbert – Imperial Capital: Yes. I wondered if you and I am sorry if I missed this earlier in the call but where is the weakness in demand coming from in the screen print channel. Is it all end markets, meaning, you know, clearly, we know on the corporate side, is it also in resu [ph] work, can you kind of give us a little bit more detail there? And then also with the discounting, that heavy discounting is going on in at the screen print market, has it already started, and what level of discounting are you seeing in terms of prices?
Glenn Chamandy: Well, first of all, I’d just like to say that the market for the up until the end of November was roughly down from January 1 of 2008 to November, on a year-to-date basis, it was down roughly about 6%. Up until the end of September, the market was down 3%, so we have been in a recession, listened to the economists for the last 12 months. So, basically, we have always felt that we’re quite resistant to economic downturns, and that was reflective really in this year of 3%. I think what happened in the month of October, I mean, business was actually quite normalized at probably at a clip of minus 3% through October 15. And I think from October 15, there has been a shock of the credit system, customers watching their inventory, the customer end user watching their inventories, and just I think the whole philosophy, rethinking and people getting nervous looking at their net worth thinking, I guess shrinking. So, what has happened is that that really – the market actually went down. In October, it was down 13%, but in the first two weeks we were actually pretty normalized, and the last two weeks we’re severely down, and that kept going through November. Now this is seasonally our lowest time of the year. A lot of the sales that was lost were again in white promotional volume type programs. We’re starting to see a little bit pickup now that we have actually had some promotional activity in the month of December. What is important to remember is that, if you look at the seasonality of our business, there are some big volume programs that could be susceptible to a downturn, but at the end of the day, when you go through the height of December selling season, literally baseball is going to come back. All the events that drive our segment, the job runs in the summertime, et cetera, people might not be traveling let’s say, for example, abroad, but they’re going to go to the beach, they are going buy a T-shirts. It is a good feel item. So we still find it – I think we are taking a conservative approach to what we think the market will be down next year. But we think that really the worst of this situation is really in this fiscal timeframe. So, we have seen the combination of the market somewhat floating in the last six weeks and combined with the liquidity issues I think people are looking to manage their inventory better, and most of the things combined have really brought us to the situation we are in now.
Mary Gilbert – Imperial Capital: Okay, so now what about with discounting and also you pointed out that it was in white T-shirts, right? So what about colored T-shirts, and the demand dynamics there, could you talk a little bit about that as well?
Glenn Chamandy: We are currently discounting all of our product right now. And this is also something that is going to support our distributors because our distributor right now, they buy our product. There are also other distributors or other producers in the market that actually sell direct and bypass our distributors. Part of what we are doing right now with our pricing policy is we’re going to give the ability for our distributors to reach more people and be most successful in selling our products. So hopefully that will also generate incremental volume not only for us, but for our customers.
Mary Gilbert – Imperial Capital: And how is that going to allow them to reach more people?
Glenn Chamandy: Because there are certain manufacturers that actually sell direct to printers that don’t use distributors to sell their products, and our pricing strategy right now in the marketplace is going to open up new doors for our distributors and that is what we have seen already. Since we started this promotion, we have seen sales pick up and will hopefully create some opportunity, not just for ourselves, but even for our customers.
Mary Gilbert – Imperial Capital: And what is the magnitude of discounting that is going on –
Sophie Argiriou: Sorry, Mary. Sorry to interrupt, if you can maybe call us with follow up questions, we could give the opportunity for others to ask questions as well.
Mary Gilbert – Imperial Capital: Right. Thank you very much.
Operator: And your next question comes from the line of Candice Williams with Genuity Capital Markets. You may proceed.
Candice Williams – Genuity Capital Markets: Hi. Can you just explain to us what the weakness in the wholesale channel could do to some of your wholesale customers, particularly the more levered people? And if some of them were to fold, how quickly could you reallocate your product?
Glenn Chamandy: We don’t feel at this time that any of our customers are at risk naturally. Basically a lot of the promotional activity that we are providing is going right to the end user, so we are absorbing those margins, not our distributors. And at the same time, with this pricing strategy, we are hoping, and what we think will happen is we’re actually going to create opportunity for them to make them healthier and give them the ability to actually get business what they didn’t get before. So we feel pretty comfortable with that the situation of our distributor base at this present time.
Candice Williams – Genuity Capital Markets: Okay. Thank you.
Operator: And your next question comes from the line of Sarah Hughes with Cormark. You may proceed.
Sarah Hughes – Cormark: Hi, guys. In your guidance, you indicated that your estimate for selling price decreases was about 7% to 9% in 2009. Just wondering if you could give us a bit of detail on how much they have come down in October and November?
Glenn Chamandy: Well, right now, I think if you take December into account, we’re selling products that we’ve launched what they call a promotional discount, and the average T-shirt we are promoting the product at roughly about $3 a dozen off which is going directly to the end-user.
Laurence Sellyn: And this has just started in December, Sara. The discounting was not in place in October and November.
Glenn Chamandy: We discounted some other product lines like fleece in the month of November, but T-shirts really started in the month of December.
Sarah Hughes – Cormark: Okay. How has pricing gone in the international market?
Glenn Chamandy: Pricing has been stable because they don't operate in the same manner as we do here in North America. But saying that one of our opportunities of growth there so we are going to pursue aggressively those markets as well.
Sarah Hughes – Cormark: And then on that note, I am just trying to get a sense of how pricing compares internationally versus North America, and therefore your competitive advantage going to be more aggressive in international markets?
Glenn Chamandy: It is pretty similar, I guess, because we're globally competitive as a company. So I would say that there is not much difference between pricing in any one of our markets today.
Sarah Hughes – Cormark: Okay. Great. Thank you.
Glenn Chamandy: Thanks.
Operator: And your next question comes from the line of Vishal Sridhar with Gildan. You may proceed.
Vishal Sridhar – Gildan: Hi, thanks. Hello.
Glenn Chamandy: Yes.
Vishal Sridhar – Gildan: Hi, thanks. All my questions have been answered.
Glenn Chamandy: Thank you.
Sophie Argiriou: Thank you. At this point, I would like to thank everyone for joining us. I believe we have covered by lot of the issues in your questions. I would like to remind you all that we will be available during the day to take additional questions. So with that, thanks again for joining us, and we're appreciate your interest and we look forward to talking to you again at our next earnings conference call. So thanks and have a good day.
Operator: This concludes your presentation. You may now disconnect. Have a good day.